Operator: Good morning, and welcome to Innoviz Fourth Quarter 2021 Earnings Conference Call. Joining us today are Omer Keilaf, Chief Executive Officer; and Eldar Cegla, Chief Financial Officer. Following the formal remarks, we will open the call for your questions. I would like to remind everyone that this call is being recorded, and will be available on the Investor Relations section of our website at ir.innoviz.tech. Before we begin, we would like to remind you that our discussions today will include forward-looking statements that are subject to risks and uncertainties relating to future events and the future financial performance of Innoviz. Actual results could differ materially from those anticipated in the forward-looking statements. Forward-looking statements made today speak only to our expectations as of today, and we undertake no obligation to publicly update or revise them. For a discussion of some of the important risk factors, that could cause actual results to differ materially from any forward-looking statements, please see the Risk Factors section of our Form 20-F filed with the SEC on April 21, 2021. I will now turn the call over to Omer. Please go ahead.
Omer David Keilaf: Hi, everyone. Thank you very much for joining us. I’m happy to host our fourth quarter earnings call and with us today I’ve Eldar Cegla, as usually joining me, our CFO. And today we have a special guest, which is Oren Buskila, who is one of the Founders and is the Chief R&D. And he will talk about our R&D progress today. With that, I will start the presentation. Okay. I want to start with talking about how Innoviz have met our 2021 targets. We had a design win with Level 4 with an automotive company for a shuttle program using multiples of our LiDARs. Shuttle program that is still due to launch end of this year or beginning of the following months. This program is making good progress and we are very happy to be part of it. This program is using InnovizOne. Last March, we announced a new product, InnovizTwo with a very significant performance improvement and cost reduction. And we told the market that we're going to have first samples by the end of the year and we have managed to meet that target. We were qualified as a direct supplier for one of the largest car makers in the market. [Indiscernible] competing on the program, which we are still expecting decisions to be made soon. And we're going -- we're following the same process with other care makers today. We ramped up a first automotive grade high volume production of InnovizOne with our partner Magna to support the BMW program and shuttle program for automotive grade volume. In addition to that, we talked about having a -- to reach a design freeze of InnovizOne and I’m happy to say that we have managed to meet that target. Now moving our efforts to the production validation and prepare to the launch of the programs. Additional to these efforts, we've included new capabilities in the company. As oppose to the InnovizOne effort where we did the design manufacturing, design for volume manufacturing with a partner with InnovizTwo and now Innoviz360, we do the design for manufacturing ourselves. And we have our own NPI introduction line for small volume production of the InnovizTwo in our own facilities, which gives us the ability to move very, very fast. That's what allowed us to have first samples so fast. We've announced several announcements on new partners and customers through the entire year of '21. And we will continue to do so. Last earnings call, we talked about the many efforts that we're doing to meet our targets to have InnovizTwo available and show it for the first time in the Consumer Electronics Show in Vegas. And I'm happy to show you now a video of the InnovizTwo [indiscernible]. [Video Playing] We have a working product. This is amazing. Hi, I'm Omer Keilaf, CEO and Founder of Innoviz. I'm excited to invite you to our first demo car of InnovizTwo, our groundbreaking technology that is going to revolutionize the autonomous driving industry. Let's jump in. This is InnovizTwo, our next generation. I'm excited looking at this. We are in the middle of Tel Aviv, seeing the product in live. There are many car makers who are trying to make a decision for the LiDAR for their vehicles for '24, '25. Having the ability to show them a product already meets all of the requirements and price points is a big advantage. They don't need to take any risks. They can start collecting data and build their algorithms with a product that already meets everything they need. There is no other LIDAR that meets this performance by far. And Innoviz is coming with a lot of experience in developing LiDARs for automotive. We've done so for the last 4.5 years. I don't think there is any other LiDAR company that spent so many years in developing a LiDAR for autonomous vehicles. And all of that learning is now baked into this amazing product. Makes me excited that we are already able to provide the product that the customers are looking for today. And I can actually imagine how the world will be, full of this kind of sensors, and will allow autonomous driving to a reality. We have a working product. With that, I want to talk about what we managed to accomplish in the last quarter. We announced five new contracts for pre-production deals, and I will elaborate on that in the following slide. We continue to work on several RFIs and RFQs in the market and we have very good momentum. One of the programs that we were hoping to announce end of last year has been pushed by the customer for these days. They have asked to make some changes in the requirements. We have responded those requirements and we are now waiting for their decision. We are very confident in our ability to secure very meaningful business this year. There are additional RFQs coming along. And with our portfolio, I believe that we will be able to announce more this year. We increased our order book by $200 million. Following progress we have in the shuttle program, decision in order to include more LiDARs per vehicle and the maturity of the program allows us to increase our expected revenues in this program. We have our first samples of InnovizTwo that allow our customer to test the product and make a decision. We announced a new product, very innovative one Innoviz360. It's a new category which allows Innoviz to participate and compete on many additional programs, and I will elaborate on it later. We had a webinar for Level 3 standardization where I introduced the white paper. We created -- to talk about what are the requirements for LiDAR to meet Level 3 performance and we see Innoviz as a strong player that can actually help in consolidating the requirements for this market. We had a session in MIT course for deep learning, showing the progress of our perceptions of the [indiscernible]. We were awarded with the IATF certification for production quality for automotive. Other than that, we announced our new partners and customers just recently. On the five contracted pre-production deals, we announced a new customer Obayashi, one of the largest construction companies in the world using our LiDARs for automated driving. Another customer is Syracuse, who's also using our LiDARs for automated crane control. You can see here a video they created using InnovizOne. It's an Israeli company. We're very happy to work with. Whale Dynamics, the company we announced a quarter ago about our collaboration and now reach an agreement in our supporting their efforts to bring platforms -- autonomous level for platforms to the market. We also agreed to -- we’ve reached an agreement with an Asian company to bring automation for ports and with InnovizOne and Twinner to support their efforts in automation in defect detection again using InnovizOne. We are working to increase our customer work through the maturity of InnovizOne and soon also with [indiscernible]. Our funnel, so we have -- until today we have two series production programs with two big automotive companies. One is BMW. We host -- which allow last quarter talking about the focus of the program and more details will be shared in -- throughout the year about the launch of the program. And the shuttle program, which I referred earlier. We increased our pre-production program by five deals as I described earlier. We have currently 12 companies in different stages of RFIs and RFQs. And many of them reflect very meaningful opportunities of order books. Our target for '22 is to reach 10 pre-production programs that will allow us to meet our revenue targets and at least one more automotive program that will allow us to increase our order book by at least 70%. Now I would like to talk with you about Innoviz strategy relates to our business development and automotive and beyond. The way Innoviz is operating is that at every point of time, we look at the total addressable market of LiDARs. There are different markets that LiDAR could be used. But it's always very important to identify which of the markets are more likely to go through an avalanche sooner. We -- by doing that study, the requirements understand what are the frictions, what are the required needs, and with the right chipset, we would say, or the building blocks that allow us to be to provide the best kit. We industrialized those platforms, and we continue to improve them and also provide the right software tools. To give an example to that. Today, there are different markets for LiDARs, but the fastest growing market for LiDARs today is L2 and L3. You see the different car companies that are doing, they're looking for LiDARs for launching Level 2, Level 3. And we see that as the most interesting LiDAR opportunity in the coming years. It's also interesting to understand that the decision making of those programs are these days. In the next year or so that most of the decisions for this market will be taken, and the car companies that will make decisions following that would rely on the decisions that these car makers have done. We've studied L2 and L3 very thoroughly. We just introduced the white paper that shows how deeply -- how deep is our understanding in this field. And you can actually find that on our website. And for that we introduced InnovizTwo. InnovizTwo meets all of the requirements we got from our customer alongside with our perception software which comes of a lot of maturity, a lot of experience coming from InnovizOne. InnovizOne has hundreds of thousands of kilometers already driven to try to find any issue that might come along. The ability to show that experience reduces the risk for any carmaker to want to make a decision today on a technology that can allow them to launch safely would go for InnovizTwo in the best way. The next market that we identify it's an interesting one, it’s the Level 4. There are actually different RFQs and if we are starting to come along with the different customers, different prospects of this market could be shuttles or robotaxis and trucks. And that is expected to launch in '26 or '27 and we're working with those customers. The requirements for Level 4 is slightly different than Level 2 and Level 3. There is -- there are a lot of attention for industrial design, because it's not only once LiDAR for booking, multiple LiDARs around the vehicle, it's very important to reach a zero blind spot configuration. For that application, we introduced Innoviz360. We designed it although with the last -- the course of the last year and we introduced it just a couple of months ago. And we see that as the right combination of InnovizTwo and Innoviz360 to serve those markets. Using our perception software on top of it provide our customer to grow from Level 2 to Level 3 and now to Level 4. Beyond automotive and of course automotive aggregates very, very different applications. Also, military and surveillance and construction sites, and those aggregated opportunities will eventually surpass the automotive market. Every application today that is using today 2D sensors will eventually will transition to a 3D sensor. And as such, we are learning the requirements of this market which is much more fragmented, which requires much better seamless integration. It's no longer automotive process of integration for several years and require several analytics tools that we are building. We are looking in those markets in which we are learning what additional platforms and LiDARs are required. And we will continue to provide new products to sell those very interesting opportunities and we will have them ready for the decision making on when this yester of revenue generation will arrive. In terms of software development and we've been developing our perception software for about 6 years now. From the inception of Innoviz, we identified the need for perception software from the first day. It was very clear to us that any customer that is requiring a LiDAR would not be able to use just a sensor or with a raw data, but will require the object detection and classification, the movement detection, guardrails, lane markings, et cetera, and that's what we offer with the LiDAR and price it alongside the LiDAR. That will generate us revenues for software, not only as a one-time fee, but also as a subscription-based support for -- after the launch. For Level 4 and Level 5 and those are RFQs that we are looking at additional requirements that we need to build, which are related to multi driving direction and sensor fusion, and of course, supporting the zero blind spot. And that will also come on top of the pricing of the LiDAR. For the non-automotive, the perception software that we already develop provides us the best, I would say, incremental step into this market. Having a mature automotive grade object detection and classification gives us an ability to penetrate this market [indiscernible] best. We will build additional tools, and we will -- and the fee would be defined [indiscernible]. Our cash position is very strong. We have $370 million, just raised in 2021, with $300 million in our bank account starting this year. We are very conservative in the way that we manage our funding as an example that we already foresee all of the planning that we need to have for our build this year and sourced out the components, so will not be sensitive for the chip shortage in this year. To summarize, Innoviz's ability to succeed in this market [indiscernible]. We have two significant old customers that give us a very large order book, and a very large pipeline ahead of us that we see a very good chances to take [ph]. We have a cutting-edge technology with the proven capabilities and a mature one that allows carmakers to have zero risk in taking that technology. We have the perception software probably more -- with more mileage than anyone in this category. With the capital to execute our strategy, we have the industrialization experience and we have today three production lines to support it. And we have the automotive experience that is baked into everything. Of course, we have also the production -- our product line, which will allow all of our customers to grow with us from Level 2 to Level 3 to Level 4 and 5. And with that, we are going to grow the company and continue our efforts. I will hand over to Oren Buskila to present our R&D efforts.
Oren Buskila: Thank you, Omer. I'm very glad to be here and really excited to share this update on the R&D progress in the past quarter. And I'll start with taking a step back and looking at the 6 years since Innoviz started. Now we started back in 2016. We are the only LiDARs available for the automotive market were of very poor performance, very far from reaching the requirements of the automakers for self-driving. And that was back in 2016. And since then, we've made an exceptional progress with the InnovizOne. In 2020, we launched the first [indiscernible] of InnovizOne, which provided unprecedented levels of performance both in terms of range and in terms of resolution, making the LiDAR finally suitable for automotive self-driving on public roads. And during that time, we did not neglect any of the requirements dictated by the auto industry for liability, quality, cost, et cetera. And now in 2022, just 6 years from the inception of the company, we're ready to take it to the next level with the InnovizTwo. The InnovizTwo will be a much-improved version, or much-improved generation after the InnovizOne, which will have a dramatic boosted performance, while at the same time will have a dramatic cost reduction. In terms of performance, the InnovizTwo will have twice the resolution in each of the axis. So, 0.05 x 0.05 degree in X and Y axis is what have a wider field of view and follow through view of 120 x 40 degrees. All at the same time, it will have a longer range, which is only more difficult. Once the resolution is finer and this will come at the dimensions and the price point fit for Level 2 consumer cars through level 5. Now for some more details on what we've been doing in the project of the InnovizTwo in the last quarter. So as Omer mentioned, we actually met the objective of delivering the first InnovizTwo samples back in January, that was at CES Vegas, where we presented the B0 samples, the preliminary samples of the InnovizTwo. Preliminary as they are, they met most of the performance objectives targeted for the InnovizTwo already in the first sample, including the field of view of 120 x 40 degrees, the resolution of 0.05 x 0.05 and the range of more than 200 meters for a very dark 10% reflectivity target. That was achieved with a frame rate of 10 frames per second, which is going to improve in the next versions of the product. Speaking of the next versions, the next one is the B1. The InnovizTwo B1 will be available in Q3 of this year. And it will feature a massive decrease in the size. So, here I'm holding in my hands, and I hope you can see them. This is the InnovizTwo B0, that's now sampling. This is the Innoviz B1 coming up later this year. And you can see both from the presentation and maybe from the video that we've reduced the height of the B1 dramatically versus the B0 with the target of making it suitable for more diverse mounting positions on the car, including the roof line, well the vertical height is a critical dimension. The field of view …
Omer David Keilaf: The area of the car.
Oren Buskila: Oh, yes. Thank you, Omer, for reminding me. This is trying to find the LiDAR here. This is right here in the roofline. This is a suggested constant design from Innoviz of how to integrate the LiDAR with the car design. And you can see a very seamless, very sleek integration with the car's exterior. The field of view of the B1 was adjusted in order to accommodate the thinner height dimension. The frame rate we've been able to meet the production intense frame rate with the B1, which is 20 frames per second, while not sacrificing neither the resolution or the range of the B0. The B1 also is designed for manufacturing, meaning that all of its parts, components are already to -- already designed to be made in volume with high yield and low cost and in power to developing the B1 we are also developing and bringing up the production tools required for the production line of the B1. Of course, this is a low volume production line later to be replaced by the mass production line of the future versions. On the top right, you can see a point cloud taken with the B0 just I think yesterday. And this is really recent. And those of you all use to looking at point clouds, I think will probably admire the resolution and the angular accuracy. This is really spectacular performance that we're already seeing from the B0 and this is only going to improve with the B1. The InnovizTwo will also be the first product from Innoviz to include onboard perception software. And this means that we are now completing the coverage of both common perception architecture of cars. The first one being distributed processing architecture and the second one is centralized processing architecture. In the distributed architecture, every sensor processes its own raw data locally and outputs just an object list of what it detects. So, the InnovizTwo will run this software, this computer vision software on the LiDAR box itself inside it, thus eliminating the need for any exterior processing of the point cloud. We will nevertheless output both the object list and the raw point cloud in case this is of use to customer. Now, this local processing reduces the compute loads on the central computer of the car, simplifies the data interface and reduces the latency, all making the integration of the InnovizTwo into the car system much simpler and also reduces overall costs of parts in the car. The second architecture, which we've all supported also in the past is a centralized architecture where all the sensors in the car including the LiDAR do not process their data locally, but rather transported to the central computer, which does the processing and the fusion of the perception features. Now Innoviz does not just output the point cloud even in this case, but also provides the perception software to run on the central compute platform, meaning on a different chip than what resides inside the InnovizTwo. The output is a raw-point cloud and the Innoviz software running on a central compute is responsible for detecting objects on the road as you can see in the image to the right. Now we support most of the processors from various automotive grade vendors today, and we intend to increase the - to expand the support to further vendors. Now, I'd like to show a quick video of the InnovizTwo B0. Here in beautiful Tel Aviv, this was also taking not very -- not late ago.
Omer David Keilaf: It’s the not the most updated.
Oren Buskila: It's not even the most up to date point cloud. We are making progress every day recently. But what you can already see here is the exceptional resolution and range that is visible here. And this is very, very important to note that this does not include any sort of aggregation of frames. Each frame here that you see was taken separately with live recording from the LiDAR. So that was how Innoviz is disrupting the automotive LiDAR space. But the other segments -- other than automotive, well, up to today underserved by relatively low performance LiDARs, which are also high cost and typically quite big. And this is soon going to be changed with the Innoviz360, the first LiDAR from interface which will have a 360 degrees coverage, a surround view coverage of the LiDAR. The vertical field of view will also be very high, 64 degrees. And all this will come in a very small package. You can see actually a mock up at this point right here, which is very small compared with other LiDARs available today. And the cost will also be exceptional compared with any other competitor today. Now the way that we're able to offer both this performance, this cost and very aggressive timeline toward samples is by leveraging the same components, same optical engine that we have in the InnovizTwo. We're going to integrate that into the Innoviz360. We're designing the Innoviz360 around it, while only adjusting the scaling mechanism for 360 coverage. Now it's really important to understand why the resolution is so important. Why it matters that the Innoviz360 will have that resolution which is higher than full high definition. So, what you see on the right and the left are actually the same scene, but captured in simulation by two different LiDARs. On the left is probably the best-in-class LiDAR available today, a spinner LiDAR. And on the right, you can see the future pointer of the Innoviz360, which is a factor of 10% in the …
Omer David Keilaf: 10x.
Oren Buskila: Thank you, Omer. 10x the number of lines. And why is that important? So, when looking just at the center of the field of view, well, the lines are dense even in the competitor LiDAR than most objects are quite visible in the center of the field of view. But as we look towards the edges of the field of view, you can see that with few scanlines, there is large -- very large spaces between the lines, making it possible to miss small objects, which might be critical for the car to detect. So, on the right you can see a dog and a cat simulated ones, of course, easily detectable by the coverage of the InnovizTwo, while -- whereas on the left, you can see that they are very hard to detect, actually quite not seeing. Innoviz is working not only on the system level, but also on the underlying components, such as the ones that now are driving the InnovizOne. We are now working on the next generation of those components, which will drive the future products. The first one being the next generation ASIC, which will support an increased pixel rate and increased maximum range of up to 500 meters. And we'll also have support for additional interfaces and future security standards, which are going to be adopted in the auto industry. Samples of the -- of this ASIC are going to be available in 2023 and will support both the future products and the existing products. This is all backwards compatible with the current LiDARs from Innoviz. The second component that we are working on is the next generation detector, which will have the best-in-class sensitivity of all detectors of its kind, enabling increased range, improved resolution and some other benefits, which will not expand on now. Engineering samples are also going to be available in 2023. Next update is on the perception software. We are now at the stage of -- it's called SRS, Safety Related Scenarios. These are [indiscernible] emulating actual roads, sees that cars - our customers cars might encounter. And the purpose is to validate both the point cloud performance and the performance of our perception features. The other major effort we are now working on in the area of perception is the Endurance Runs. This is a massive, massive worldwide campaign for collecting hundreds of thousands of driven miles in several countries towards the validation of again the point cloud and the perception features in real world conditions. This only began once we've met the KPIs, the performance necessary for production. Now we are ready with our customer to start racking up the miles of these -- of this recording campaign. To summarize, the Innoviz R&D objectives for this year are first to complete the product validation of the InnovizOne towards the beginning of the volume production of it. Second is to deliver the B1 sample of the InnovizTwo, which is designed for manufacturing. Third is to reach the first engineering samples of Innoviz360; and lastly, to maintain and increase Innoviz technology leadership with our components and perception software. And with that, I wish to thank you and pass on the presentation to Eldar Cegla, our CFO, who will present the 2021 financial results. Eldar?
Eldar Cegla: Thank you very much, Oren, and good morning, everyone. We'll start in a moment. One moment please. Okay, one second. So, we have it, yes. So, Innoviz 2021 -- in 2021 Innoviz successfully closed a business combination with a SPAC, which provided over $370 million in gross proceeds. At year-end, we maintained a high liquidity level of $304 million in cash, short-term deposits, and marketable securities. Our operating cash flow during 2021 was within the planned budget and Innoviz debt free cash assets enable it to execute in 2022 plans. Revenues for 2021 were $5.5 million, while 2020 revenues were minus $9.4 million. InnovizOne-related revenues in 2021 increased by 28% to $4.3 million compared to $3.3 million of total annual revenues in 2020. The Company expects InnovizOne sales to continue to increase this year and we are also targeting to sell the first samples of InnovizTwo. Operating expenses for 2021 were $152.6 million, an increase from $66.2 million in 2020. Operating expenses in 2021 included $64.7 million of stock-based compensation compared to $3.2 million of stock-based compensation in 2020. The increase in operating expenses compared to 2020 was primarily due to the increase in stock-based compensation and people-related expenses. Additionally, research and development expenses for 2021 were $93.3. million, an increase from $57 million in 2020. Research and development expenses in 2021 included $25.5 million attributable to stock-based compensation compared to $2.6 million attributable to stock-based compensation in 2020. To conclude, we will continue to focus on developing groundbreaking technology and products for the automotive market and beyond. We believe that we are well-positioned to execute our strategy and growth plans this year. And with that, I will turn the call back over to Omer for closing remarks. Thank you.
Omer David Keilaf: Yes, thank you, Eldar So, again, thank you very much for joining us this day. Innoviz is working very strongly -- working very hard to succeed. We have, I think, the best setup that we can wish for with a very promising product and portfolio. And our team is working very hard to make that happen. With that, I'd like to invite you to ask questions. I'm happy to answer them.
Operator: [Operator Instructions] Our first question today is coming from the line of Mark Delaney from Goldman Sachs. Please go ahead.
Mark Delaney: Yes, good afternoon and thank you very much for taking the question. I was hoping, first, if you could talk a little bit more around the top line trajectory for 2022. I realize you're not giving specific guidance, but maybe you can talk about whether or not you think there's potential to begin series production this year. You have the BMW program that I thought you had the potential to start in '22. So, you guys were thinking about revenue in 2022. Is that something we should be contemplating in the latter part of this year?
Omer David Keilaf: Yes. I'll start and maybe Eldar can continue. So, the launch of the programs due to the announcement of our customers, which we obviously cannot talk about, we expect -- we're under the assumption that the launch of the shuttle program is done this year and BMW ideally to them to announce and I believe that in the near future you'll get more information about that. There are several customers that we are serving beyond supporting those programs. And some of those that we described today will allow us to meet a big portion of our targets and we are going to continue and bring those deals to the table. The fact that we have InnovizOne now more mature and being able to design -- freeze the design and bring up the production volume, helps us to give more customer in their hands the product to make a final decision and move to an order which will allow us to meet our targets. I think generally speaking, the programs that we’ve been competing on, and we are actually expecting them to make decision, end of last year we are pushed to this. I think that about 6 months of delay that was -- in the market is pushing the revenues by about 6 months and -- but the ramp up and the growth of the revenues are expected to be in the same manner that we initially assumed.
Eldar Cegla: So, adding to that: a, our focus is on market share -- winning the market share. As Omer said, there is a shift in revenues from last year to this year once we win those, hopefully be able to win those programs, and they will generate additional revenues. We also plan to have the first samples of InnovizTwo starting to sell and roll out into the market.
Omer David Keilaf: I want to add that the fact that we included now Innoviz360 to our portfolio is opening a new TAM [ph] for us, new opportunities. We expect to be able to penetrate the [indiscernible] automotive markets in the following year and grow our potential.
Mark Delaney: Okay. Omer, just to clarify, I realized we need to hear from BMW on when they would start serious production, but would Innoviz be ready to support them this year if they do choose to begin later on '22?
Omer David Keilaf: Yes.
Mark Delaney: Okay. Yes, my follow-up question is on that ADAS L2, L3 program with a big OEM customer. You talked about it on the last call and you said today they've asked some changes, and you guys are working to address that feedback and still feel good about winning it. Maybe you could elaborate a little bit more on that, in terms of timelines and how long do you think this may take? And you mentioned, a new variant of the InnovizTwo, the B1 that will be ready in the third quarter. Is that the very innovative InnovizTwo that you guys would need in order just to potentially win that. And so -- or really to [indiscernible] until 3Q that perhaps you will get more of an update on that front? Thank you.
Omer David Keilaf: I will start actually with the second question, because I think it's actually -- you assume correctly. We designed InnovizTwo following discussions with our customers, and the customer that we expect to make a decision soon, has a very, I would say, short timeline to make a decision and launch the program. And we are trying to make sure that we are going to follow all of their requirements throughout the year and supporting them with the product they are looking for. And that's what the changes that we've made also to the B1 sample versus the B0. And to your first question, yes, we have very good confidence in that program. It's over a year and a half. I think even more than that today. Very close discussions beyond the negotiation of financials and the technical. And we feel still very -- in a good position to possibly win it. In regards to when it's going to happen, it's -- I mean, basically, we are waiting for a decision. When it's going to be made, it's not in my -- I cannot tell, but we're hoping to hear decision soon.
Mark Delaney: Okay. I guess if the sample of the B1 is in the third quarter, if I heard that correctly, could you get a decision from that customer before they sample it in 3Q? Or do they need to have that and hand in the third quarter before they make that decision?
Omer David Keilaf: No, they don't. I mean the B0 is already meeting their needs in order to make a decision.
Mark Delaney: Okay. Thank you. I'll turn it over.
Omer David Keilaf: Thank you.
Operator: Our next question comes from the line of Michael Pilato from Berenberg. Please go ahead.
Michael Pilato: Hey, guys can hear me?
Omer David Keilaf: Yes.
Michael Pilato: Great. Thanks for the presentation and for taking the questions. So first one just branching off of Mark's questions. In relation to that, that large OEM that you're engaged with right now, I think you've previously said you were competing against one other supplier for that business. Has that changed at all? Is there a change in sort of the competitive dynamics with that particular engagement?
Omer David Keilaf: Well, the requirements have changed since the end of last year. And as far as we understand the other competitor was not able to fulfill them. I'm not aware of the situation right now, whether there is another competitor out there that is able to fulfill it. Our assumption that it's not, but we don't have the full -- probably, we don't have the full visibility of the landscape.
Michael Pilato: Okay. Understood. And looking at your guidance to potential order book growth of 30% or more, I guess, if you assume that you did win another OEM program, whether it's this one we were just discussing, or another one, I guess, I would have thought that a win with another large OEM would impact the larger, the order book to a larger degree than maybe 30%, just given the size of the BMW order book. So maybe you could just talk a little bit about that. Is there an assumption of an OEM win in that order book growth of 30%? Or is that without an OEM?
Omer David Keilaf: Well, an OEM win would make that much higher. We did like a weighted average of the different opportunities. But, yes, I mean, an automotive grade a fulcrum win would be [indiscernible].
Michael Pilato: Okay, great. And then, again, I know you haven't talked about BMW sort of launch timing. But let's just say hypothetically, if you were on an OEM program that was going to launch in maybe early 2023. I mean, would you start to see revenues from that program late 2022? I guess, would there be some pre-production revenues associated with that program or ramp up in revenues associated with that program in the quarters preceding launch?
Omer David Keilaf: We are already making revenues from the BMW program, as you say. The pre-production testing requires validation of hundreds of units will generate revenues for Innoviz. So, the answer is yes.
Michael Pilato: Okay, great. And just one more. I mean, in terms of we've talked about this one OEM program that you're engaged with now, but it sounds like there are several others. How many are you engaged with right now? And sort of maybe RFQ process or late-stage negotiations? And how many do you think will be decided this year, if you had to guess?
Omer David Keilaf: There are currently about six OEMs in discussions out of the 12 that we mentioned. And I would say that this year, we expect to have at least half of them making a decision, or all in the second half of next year, but at least three. Out of them the one that we're talking about.
Michael Pilato: Okay, great. Thank you, guys, so much. Appreciate it.
Omer David Keilaf: Sure.
Operator: Thank you. Our next question comes from the line of Andres Sheppard from Cantor. Please go ahead.
Andres Sheppard: Hey, guys. Can you hear me, okay?
Omer David Keilaf: Yes.
Eldar Cegla: Yes.
Andres Sheppard: Wonderful. Thank you for taking my questioning. Congrats on the quarter. A lot of the questions have been answered. Maybe one quick follow-up is you've mentioned the 10 pre-production programs you're expecting to secure in 2022. I'm wondering, can you quantify those a little bit further in terms of what those could mean for both top line revenue? And maybe how many of those are in late stages, middle stages, early stages?
Omer David Keilaf: So, we're -- there are several customers that we are already in discussion, as you said. As I mentioned earlier, there are 12 customers, 6 of them are in the automotive, 6 of them are non-automotive. And I would say that in most of those -- I mean to reach those 10 this year, we are already in, I would say late discussion stages. And we see those are as important in order to fulfill our targets for '23 in terms of generating revenues. At least a big portion of what we expect as revenue generation for '23.
Andres Sheppard: Got it. Thank you very much. And maybe one last follow-up for me is on your liquidity status, right. So, if we just look at cash alone, I think that number decrease rather substantially for the quarter. And so, do you anticipate to having to go into the market to raise additional funds? Does that -- does this new cash position, does that change the previous strategy? Any color around that?
Eldar Cegla: So, the cash level decreased by roughly $20 million or $21 million, which is within our plans. So, it's not more than what we have thought for. Additional capital raise is -- has to come with a context, it's not a standalone. If there is meaningful business, if there is meaningful transaction that creates value for us or for our shareholders, for the business that we are bringing, that might be an option. But currently at this current stage, we have raised significant amounts of cash last year, and we are fully prepared to execute our strategy this year.
Andres Sheppard: Got it. And maybe a quick follow-up there, if I can. So, that makes sense. But if we just look at cash and equivalents, right, I think we went from $140 million in Q3 to about $25 million in Q4. And so, what is a comfortable level of just cash and equivalents that you feel comfortable going forward? And is there a threshold that you wouldn't want to get below? Obviously, you don't want to have negative, but are you comfortable with that $25 million in cash going forward?
Eldar Cegla: I'm not sure I follow the question. But the total amount of cash that is in the short-term deposit and marketable securities $304 million.
Omer David Keilaf: [Multiple speakers] without debt.
Eldar Cegla: And without any debt. So -- and last quarter and Q4, we spent around $20 million, a little more than $20 million. So, in terms of cash levels, we feel very comfortable. I'm not -- I hope I'm answering your question.
Andres Sheppard: That’s helpful. That answers the question. Thanks, Eldar. I will turn it over.
Eldar Cegla: Thank you.
Operator: Our next question comes from the line of Mark Delaney from Goldman Sachs. Please go ahead.
Omer David Keilaf: Mark, we can't hear you.
Mark Delaney: Yes, thank you for taking the follow-up. I was hoping to dig in a little bit more on that that last topic of cash flow. Do you have any expectations for cash use in 2022, that you're able to share with us?
Omer David Keilaf: I can maybe talk about this. Yes, so I would say that our plans for '22 is split into, I would say, four main activities. And they're split, I would say about one-third comes from effort to bring InnovizOne to complete the production validation and testing and ramping it up, readiness for the launch of the programs expected end of the year. Another third, related to activities in bringing up InnovizTwo to volume production for 2023. We want to be prepared to start ramp up volume and have additional volume sales in '23 coming also from InnovizTwo. Then, I would say, out of the last third, I would say that 80% of it comes from expenses related to the perception software and software development, and the rest is related to activities in the bring up of Innoviz360, an additional I would say innovation in the CTO, in the innovation team, roughly speaking.
Mark Delaney: Got it, And any sort of overall quantification around cash use in 2022. What does that add up to the cash use, $100 million, $150 million, if you're trying to get sense for the cash usage this year if you're able to give some rough ranges on that?
Eldar Cegla: So, we are not talking about the forward-looking cash use, but 70% of our expenditure is the R&D. So, you saw the amount of cash that we used last quarter. Some -- there will be some increase, obviously. And again, we -- as I said, we are very well-positioned in order to be able to execute our plans for this year and have the R&D fully funded and execute the main targets that Omer [multiple speakers].
Omer David Keilaf: Maybe I can add to this, Mark. And I think the reason that we are hesitant in really giving right now just the numbers because there are several programs that we're competing on and those are very big ones. And based on the activity that we will need to bring up the different teams to support the different programs, which require us to act differently. And that's kind of like why we -- we're going to be very efficient in the way that we manage our expenses. In fact, we are already looking for a very exciting year. So, with that we are just -- we will manage it to bring our best result.
Mark Delaney: Okay. That makes sense. Thank you.
Omer David Keilaf: You are welcome.
Operator: Thank you. Our next question comes from the line of Michael Pilato from Berenberg. Please go ahead.
Michael Pilato: Hey, I just have another follow-up. Since you got [indiscernible] I'd ask him a question. So, you talked about the update to the ASIC chip and to the receiver, right, that would be expected in 2023. Is that -- or those updates be built into whatever products that you're now offering or potentially offering to customers such as this large OEM you're engaged with, right? Would those be retrofitted into the design? Or would that be on sort of a next generation product that you would be competing with?
Oren Buskila: Okay. So, these two components are mostly targeted towards the next generation products, meaning that the upcoming products of InnovizTwo and the Innoviz360 are not dependent on those components in order to meet their performance requirements and schedule. However, they will be able to benefit from them in the future. So, we may have versions of the InnovizTwo and the Innoviz360 with even enhanced performance. But again, we will not rely on them in the short-term. The InnovizTwo and 360 can be -- can reach the market even without those projects.
Omer David Keilaf: It's always related to the design freeze that you have for certain platform. Once you reach a certain point, you can change anything in the hardware. We've met that point with the BMW program, somewhere about a year ago. And basically, once you reach that point, you only need to make sure that you finish all of the design validation and make sure nothing needs to be changed, but you're not allowed to change any meaningful component. So, it really depends on the timing of the program. And by that we will be able to decide whether this chip is relevant or not. Specifically for the programs that we're offering today, for launch in '24, we're not assuming those are required. It is really dependent on the launch of the program and the timing of the program, and flexibility of the customer. For the non-automotive market, those will be able to leverage on those advantages, obviously, much quicker. And I hope that answers your question.
Michael Pilato: Yes, yes. Understood. And just one more on the software since you touched on it today. Just are you guys -- are you just doing the perception software that basically processes the raw LiDAR point cloud data? Or are you offering some sort of holistic perception stack that maybe Tier 1s or OEMs will use? And you talked about sort of licensing that software. Is that included in, say, a $500 ASP that you refer to for the InnovizTwo? Or sub $500 ASP or is that on top of that? And what would that software licensing revenue opportunity be?
Omer David Keilaf: Sure. I'll start with the second questions easy. So that comes on top of the pricing of the LiDAR. And, of course, if there are two LiDARs in the vehicle, then we [indiscernible], depends on the application. And then you have the subscription fee for support, whether there are requirements for supporting, adding additional features post the production. So that's also something to include in regards to the capabilities of the software and what we offer. So, Innoviz is not developing driving decisions, those are done by our customers. We are offering the perception software which allows our customers to have a seamless integration of object detection and classification. Basically, what you can think about in terms of what we offer, carmakers wants to have a platform that has the computer vision capabilities of the camera, and the same interface, the exact, really copy exact capabilities from another sensor that provide its redundancy just that it's essential that does not degrade when the camera integrates. Meaning that the interface is, I would say, almost ignorant of what's behind it. You get an object detection and classification, movement detection, drivable area coming from our LiDAR, that's what we offer. That's the package that we provide and we price it on top of the LiDAR. And that's what allowing our customers to reach Level 3 or higher, and that's priced on top of that. I hope that answers your question. If not, please [indiscernible].
Michael Pilato: Can you quantify the software opportunity, like the dollar content or …?
Omer David Keilaf: About $50.
Michael Pilato: Okay.
Omer David Keilaf: Yes. I mean, our assumption is that use a very similar business model of Mobileye at the time where -- I mean basically what Mobileye provides the market is not the camera, they are offering computer vision. The camera is done by the Tier 1. Mobileye provides the chip with the computer vision, which basically translate the 2D image to object detection and classification used by customers. They don't want to use the raw 2D data. They want to use the object detection, the insights, the sensor was providing. So that's -- I think the industry has converged to a certain point of willingness to pay for such a product, which is object detection and classification over a camera, which is about $50. And we have the assumption that the same willingness to pay is going to be for the LiDAR and that's how we price it. So, the $50 comes from the object detection and classification that we provide only that is done on our own sensor, which is the 3D sensor.
Michael Pilato: Yes. Understood. And just [indiscernible] the take rate, I mean, you assume like its BMW using that software, what would you expect other OEMs that you're engaged with right now to be [indiscernible] using that software? Or what's it looks like so far?
Omer David Keilaf: Almost all of our customers are relying on the ability to get our perception software from us.
Michael Pilato: Understood. All right. Thank you, guys, so much.
Omer David Keilaf: You're welcome.
Operator: Thank you. Our final question for today comes from the line of Kevin Cassidy from Rosenblatt Securities. Please go ahead.
Kevin Cassidy: Thank you, and congratulations on the progress. Maybe just to expand on the perception software. Will you be opening that up for third-party software people to write software to your LiDAR?
Oren Buskila: Yes. Well, our customers have the option to either use our own perception software or to use either their own or third-party software. So, some customers, especially in the, I'd say, robotaxi vertical, for example, do choose to use their own software or some integration with a third-party. So, we're not blocking anyone from using our point cloud or raw-point cloud with their own perception software or third-party, actually even encouraging it. But many customers, especially in the OEM space, do prefer to get that as a package solution together with perception [indiscernible].
Omer David Keilaf: Maybe I'll just add to this and in automotive, the perception software also needs to go through a very rigorous process of [indiscernible], which means that, obviously, you cannot just let anyone to code in your processing has to be managed very, very good way. And therefore, in automotive, I think, very less likely that we will be able to host any processing code in our processing unit. But as Oren said, once the data -- we do provide the raw data for centralized computing where the code runs on the main computer of the [indiscernible], then someone can take the raw data and try to extrapolate features out of it. Even if it's done in parallel to our software that runs on the centralized platform, which we are doing. So, we have the perception software, which is embedded in the LiDAR, in InnovizTwo. But we also are bolting those algorithms, for example, we announced Nvidia collaboration in terms of [indiscernible] all of algorithms from the ASIC, from the chip that we have in the LiDAR to the Nvidia platform, because there are platforms that are doing centralized computing and the interfaces with data, so we have to port that processing into that platform. So, we're not blocking any architecture. But of course, when it comes to automotive, it's much more conservative in that manner.
Kevin Cassidy: Thank you for that. And maybe just to understand the magnitude of this with, what percentage of your engineers or software engineers working on this?
Oren Buskila: So, I'd say the -- those software engineers in general, and there's the pure software organization, I'd say this, the perception organization is roughly fourth to a third of the R&D headcount.
Omer David Keilaf: It's about almost 100. Almost 100 people working on the perception software., It's funny, because it's Innoviz is very known for the LiDARs. I mean -- but a very strong, I would say, growth is expected from our software capabilities. And we have very strong team at Innoviz developing it. It's less easy to identify. I think that we're showing the product, the LiDAR, and I think that the perception software is much more difficult to kind of demonstrate, and possibly that's why people are less aware of it. But a big part of what Innoviz is developing is the perception software. And I actually believe that in 3 to 4 years, the majority of the company would become much more software oriented, rather than just the bricks and wires. So, I think it's one of the qualities that we have here at Innoviz, and will continue to grow.
Oren Buskila: I would like -- just like to add that Innoviz has seen, has identified perception as a strategic goal since the beginning of the company. In the first team [indiscernible], we had a perception software engineer, and since then this only grew. So, we are actually -- probably the LiDAR company with the most extensive experience in perception.
Omer David Keilaf: Yes, I mean, for many years, we've been the only one that developing perception software for the LiDAR. And that's something that some others have started just a couple of years ago. And we're very satisfied with the progress we've made and the maturity of the product. And that's also the feedback that we're getting from the customers. So well done, Oren.
Kevin Cassidy: Yes. That's good answers. And maybe going back to the use of cash and tying that in, you hired 35 people this year. Is there plans for hiring as many people or more people next year, or during this year, I should say, last year?
Oren Buskila: Yes, we hired 35 people last quarter, that's correct. And Innoviz over the past year grew quite a bit. It depends, as Omer mentioned before, it depends on the projects that we win. We are very controlling our budget, very tightly, very efficiently and growth will be expected if we see that programs and businesses coming in.
Omer David Keilaf: Yes, maybe I'll add in short, but, Oren, didn't have much time to show. But his organization is built in a very, I would say, smart way. We have the core engineering alongside the InnovizOne engineering and then you have the two programs supporting the two customers in going to launch. And then you have the InnovizTwo and building block and other teams that are now working to support different activities. So, I think that we are built in a way that is, I would say efficient, so we don't need to double our teams in order for supporting multiple programs. But as Eldar said, it's going to be managed through acquisition of two programs.
Kevin Cassidy: Great. Thank you. Congratulations again.
Operator: You have no further questions. Please continue.
Omer David Keilaf: Okay. So, we are actually expecting very exciting times now. I mean, we see very -- a lot of progress also from the R&D, but also from the business side. We are looking forward to exciting year. It's -- think it's going to be a great year for Innoviz. I have huge confidence in what we do. And I'm very proud of what we managed to achieve, and with that growing the company very successfully. Thank you very much.
Oren Buskila: Thank you.